Operator: Good day, ladies and gentlemen, and welcome to the Martin Midstream Partners' LP First Quarter 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we'll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to introduce our host for today's conference Mr. Bob Bondurant Chief Financial Officer. Sir you may begin.
Bob Bondurant : Thank you, [Tiara]. Let everyone know who is on the call today. We have Joe McCreery, our Vice President of Finance and Head of Investor Relations; and Wes Martin, our Vice President of Corporate Development and unfortunately Ruben Martin is on airplane at this very moment; he will not be able to join us this morning. But before we get started with the financial and operational results for the first quarter, I need to make this disclaimer. Certain statements made during this conference call may be forward-looking statements relating to financial forecasts, future performance, and our ability to make distributions to unit holders We report our financial results in accordance with Generally Accepted Accounting Principles, and use certain non-GAAP financial measures within the meanings of the SEC Regulation G, such as distributed cash flow, or DCF; and earnings before interest, taxes, depreciation, and amortization, or EBITDA; and we also use adjusted EBITDA. We use these measures because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the Partnership's cash available to pay distributions. We also included in our press release issued yesterday a reconciliation of EBITDA, adjusted EBITDA and distributable cash flow to the most comparable GAAP financial measure. Our earnings press release is available at our website, www.martinmidstream.com. Now I'd like to discuss our first quarter 2015 performance compared to the fourth quarter of '14. For the first quarter we had adjusted EBITDA of 15.4 million compared to 42.6 million in the fourth quarter, an 18% increase totaling 7.8 million. Our distributed cash flow for the first quarter was $37.1 million, a distribution coverage of 1.12 times based on our distribution of 33.2 million paid out in the first quarter. This first quarter distribution paid in February 2015 also included IDR distributions of 3.7 million as our suspension of IDR distributions expired in the first quarter. Now I'd like to discuss our first quarter performance compared to the fourth quarter of '14 by segment. In our Terminalling segments our first quarter EBITDA was 17.7 million compared to 12.3 million in the fourth quarter, an increase of 5.4 million. The fee based portion of our Terminalling segment which includes our specially and shore based terminals and the cross refinery, had an increase in cash flow in the first quarter of 2.7 million when compared to the fourth quarter. Our crude throughput volume at our Corpus Christi Terminal increased 3% to over 180,000 barrels per day during the first quarter and has a remaining of that volume level through April. However our throughput volumes at our shore basis and across refinery were temporarily down in the first quarter. But our cash flow was protected by minimum throughput contracts with our general partner. The throughput volume at the refinery was down as a result of a 21 day turnaround which occurred during the quarter. Our next refinery turnaround is schedule for early 2017, so two years from now. Also in our Terminalling segment our packaged lubricants business experience its anticipated recovery in the first quarter as EBITDA grew by 2.7 million when compared to the fourth quarter of 2014. As I'm sure most of you remember, we had a 0.7 million loss in this business in the fourth quarter of '14 as both sales volume and sales price fell significantly due to the rapid fall in crude pricing couple of with our customers’ inventory destocking efforts. In the first quarter of '15 pricing stabilized, which allowed our more distributor return to more normal levels. We anticipate continued improvement in EBITDA as we should experience improve margins and also improve sales volume in the second quarter in our packaging business. In our natural gas services segment, our first quarter EBITDA was 16.8 million compared to 17.9 million in the fourth quarter of '14. The decrease in cash flow was primarily at Cardinal Gas Storage. Cardinal earns fuel revenue from our firm customers during injection season but does not on earn fuel revenue during withdrawal season. We received fuel revenue in the fourth quarter of '14 as there was injected gas volume during that quarter. However as might be expected the first quarter of '15 was primarily withdrawal season and as a result very minimal fuel revenue was earned during the quarter. Looking toward the second quarter, we most likely will see a slight decline in cash flow primarily from our wholesale propane business due to the seasonality of the propane heating season. However the seasonality from this lack of heating demand will not negatively reflect -- affect Cardinal due to its firmed contract business model. In addition to the cash flow generated a natural gas services segment; we've received a 2.1 million distribution from our West Texas LPG pipeline joint venture in the first quarter of '15. Now moving to our Sulfur Services segment, our EBITDA was 11.7 million in the first quarter compared to 6 million in the fourth quarter of '14. Our fertilizer EBITDA was 7.6 million in the first quarter compared to a 1.5 million in the fourth quarter. This increase was anticipated as the first and second quarters' are the highest seasonal demand periods in the fertilizer business due to the timing of farmers planning their crops. Our first quarter performance in the fertilizer business was slightly below internal forecast due to increase rainfall in our market areas. We believe some of the mid sales forecast in the first quarter will transition to the second quarter as farmers should finally be able to get back into their fields to plan their crops. Now in the pure Sulfur side of business first quarter EBITDA was 4.1 million compared to 4.5 million in the fourth quarter of '14. This slight decrease in cash flow was primarily driven by an increase in operating expenses including the temporary one month need to employee an outside inland marine tug during March. Now in our Marine transportation segment, we had EBITDA 6.1 million in the first quarter compared to 6.4 million in the fourth quarter of '14. This slight decline in cash flow was on the inland side of business as three inland tows came of term contracts and entered the market under spot tow contracts. Looking towards the second quarter we anticipated slight decline in marine transportation cash flow as one offshore tow will come off contract in early May. We plan to places this vessel in the shipyard for some very minor repair work before its place under a new term contract that should begin in the third quarter. Our partnerships and allocate SG&A cost excluding non-cash unit compensation expense was 4.4 million in the first quarter compared to 4.3 million in the fourth quarter of '14. This slight increase was a result of increased professional fees. We continue to hold a $15 million note receivable due from Martin Energy Trading, an affiliate of our general partner. This investment generated 0.6 million of interest income each of the first quarter of '15 in the fourth quarter of '14 and should continue at that rate throughout 2015. Our maintenance capital expenditures and turnaround cost for the first quarter was 3.2 million and for the year we continue to forecast a total of 14 million to 15 million of capitalized maintenance in turnaround cost. Now I'd like to turn the call over to Joe McCreery, who will speak on our liquidity, growth projects and capital resource.
Joe McCreery: Thanks Bob. I'll start with our normal walk through the debt components of the balance sheet and our bank ratios. I’d then like to discuss the partnership's outlook and provide some insight on our current growth projects. On March 31, 2015, the partnerships balance sheet reflected total long-term funded debt of approximately $849.4 million. This balance sheet debt level is now net of unamortized debt issuance and unamortized issuance premiums reflecting the incorporation recent changes in accounting standards. Whereby debt issuance cost related to a recognized debt liability presented in the balance sheet are now direct deduction from the carrying amount of that debt liability. Before [indiscernible] adjustments of $12.6 million of our revolving credit facility balance was 460 million and our senior unsecured notes for 402 million for a quarter over quarter [comp] debt of $862 million. Thus the partnership’s total available liquidity under the revolving credit facility at March 31, 2015 was $440 million. For the first quarter of 2015 our bank compliant leverage ratios defined as senior secured indebtedness to adjusted EBITDA and total indebtedness to adjusted EBITDA were 2.51 times and 4.69 times respectively. Additionally, our bank compliant interest coverage ratio as defined by adjusted EBITDA to total consolidated interest expense was 3.89 times. Looking at the balance sheet, total debt to total capitalization at March 31, 2015 was 64.4%. In all at March 31 the Partnership was in full compliance of all banking covenants financial or otherwise. The Partnership had no capital raises during the first quarter as we elected not to issue equity in this environment under our ATM nor access the debt capital markets. So now I’d like to discuss the environment in which the Partnership is currently operating. As we mentioned last call and at our Analyst Day, we thought strongly that our assets and contracted nature of our cash flow would prove to be resilient in the current commodity price environment. By and large that is and continues to be proven true. The Partnership’s adjusted EBITDA of $50.4 million and distribution coverage ratio of 1.12 times were both strong for the first quarter. The limited areas where we were exposed to commodity prices, namely our NGL businesses where we seek to capture a seasonal and/or basis differential margin were generally our weakest performers during the quarter. That being said, our more traditional MLP type assets performed very well, Terminalling and Storage for example. We continue to view the majority of our assets as refinery facing and we saw the benefit of strong [refining] utilization during the quarter. Now I’d like to talk about the Partnership’s growth. We mentioned in our last call that MMLP’s growth could be muted in 2015 and that we had approximately $65 million of growth capital expenditures approved in this year’s budget. We continue to believe that CapEx will be around $65 million for 2015 with an increase depending on potential development projects like the South Texas Asphalt Terminal or the Corpus Christi Crude Terminal expansion. As it relates to South Texas Asphalt Terminal, the Partnership is close to completing the engineering, design and necessary permitting phase for a new facility to service the growing San Antonio and surrounding South and Central Texas markets. MMLP plans to develop the terminal under a long term fee based minimum throughput contract with MRMC to provide up to 180,000 barrels of asphalt storage and handling. MMLP anticipates spending approximately $30 to $35 [million] project at a 6 to 8 times multiple. Assuming second quarter 2015 board approval, the project is expected to be operational and online by the end of 2016. Now let’s discuss Corpus Christi. As mentioned during our 2015 Analyst and Investor Day, we have the ability to add additional crude oil storage coming from the Eagle Ford Shale into Corpus Christi market. We are currently seeking a long term fee based contract to provide additional crude storage for our customer. Total cost for the incremental tankage is expected to be approximately $50 million to $60 million and assuming the negotiation approval and permitting continued favorably, we seek to be operational again by the end of 2016. With that, approximately one third of capital necessary for this expansion will be spent in 2015, if commercial terms were agreed to. Next let’s move to the Arcadia Rail Terminal. On this project we’re about 30 days from commencing commercial operations in Arcadia, Louisiana adjacent to the Partnership’s underground natural gas liquid storage facility. The rail terminal designed to expand the geographical sourcing of NGLs or storage assets has been under construction since the first quarter of 2014. The partnership expects to utilize the terminal during this summer’s refinery grade butane seasonal storage phase and we note that the invested capital for this project was included in our 2015 budget. Finally, I’d like to discuss the West Texas LPG pipeline. Discussions are underway by joint venture partner ONEOK Partners to increase the value of our asset. We continue to believe that West Texas LPG will be one of the key growth engines over the next couple of years. Currently, we’re focused on opportunities that require little to note additional capital namely we believe we can achieve operational efficiencies and potential new customer interconnects that could allow for additional throughput of up to 15,000 barrels per day. As we previously articulated growth capital expenditures at the West Texas LPG level will be minimal if at all in 2015, however long term, through 2018, we continue to believe that the growth capital of up to $150 million could be spent on this asset and its expansion. And then finally today one housekeeping item, I’d like to draw your attention in advance to a regulatory filing we anticipate making next week. An S8 filing will allow us to continue our Martin unit purchase plan or the [MUPP] as we call it, a plan in place since 2006 that allows employees a convenient opportunity to purchase existing and outstanding Partnership units through features such as direct payroll deduction. All [MUPP] purchases are in the open market previously achieved freely trading units and therefore not dilutive in any way to our limited partners. We’re pleased to say that the initial 500,000 units authorized by the Board of Director of MRMC have all been acquired by the employees. And accordingly, we’d like -- pending approval from the Board of Directors of MRMC the ability to purchase an additional 500,000 units in the open market. So, this concludes our prepared remarks this morning. We now like to open the lines for questions and answers.
Operator: [Operator Instructions] our first question comes from the line of Gabe Moreen of Bank of America Merrill Lynch. Your line is now open.
Gabe Moreen : Couple of questions I guess to start with West Texas LPG, just on those interconnection that you talking about with potential additional 15,000 barrels; Is that something where the producers are going to spending the CapEx to basically connect to the system and then also can you talk about of what are you EBITDA contribution that you are expecting from that incremental volume will be?
Wes Martin: Hi Gabe, I'll take that, in terms of the expected EBITDA contribution, now we can't really talk about that right now, but with respect to the interconnect; I think that would be most likely the producers investing their capital to make that happen, may be in a few situation it might be the opposite. But I think, overall it would more so be on producer’s side.
Gabe Moreen: Understood. And I guess shifting to Corpus potential expansion, is there real potential variability in terms of the size of that investment depending on how commercial customers come back? And is it something where you could -- I think you laid out 50 to 60 million [indiscernible] small or bigger, and as our expectation at this point?
Wes Martin: Yeah. I think yes, there is some variability behind that and I think it could be larger or smaller depend on customer needs. Right now we are still comfortable with the call of plus or minus $60 million concept that we threw out at the investor day but yes, there is a chance that it could go higher or lower than that but right now we think 60 is probably right number.
Bob Bondurant: And I will just add that I think we are honing in, Gabe, about 400,000 barrels of additional storage and that's driving that number at this point.
Gabe Moreen: Understood, and then last question, it's kind of clichéd one, but it seems someone’s going to ask if it’s now me, is just in terms of the distribution policy. Obviously the unit prices recovered from the doldrums that was out a couple of months ago, although I'm sure it’s not as high as you like to see it, covered was good, you’ve proven pretty resilient, how are you thinking about the distribution in the environment you’re in right now?
Bob Bondurant: This is Bob, I'll take that I think we as a group of management and the board would like to see continued improved distribution coverage. We're very pleased with the way we covered in the first quarter, especially with the IDR's kicking back in, so in the near term we want to build that distribution coverage a bit before we start ramping backup with some increased distributions.
Wes Martin: And all I like to add, I think with respective to -- if you look at historically on a quarterly basis, we do have some of the seasonality going into the second and third quarter, so I think we'd like to see the second and third quarters play out and again into Bobs point, bill that coverage a little bit more before we'll do that.
Operator: Thank you [Operator Instructions] our next question comes from the line of T.J. Schultz from RBC Capital Markets, your line is now open.
T.J. Schultz: So the $30 to $35 million CapEx for the South Texas projects; just so I’m clear that's not in the 2015 CapEx guidance right now, is that correct?
Bob Bondurant: That’s correct.
T.J. Schultz: Okay, when is to have a near term to green light that project and then how quickly would you be spending money on that project.
Bob Bondurant: Sure, in terms of the timing of it, I think are the process; internally we're wrapping up the front-end engineering design work, working on some of the permuting but I think ultimately we would plan to bring that to the board probably late second quarter, early third quarter and go for board approval on that front. Also systems are go on that front from our perspective right now. But we would hope to take it to the board by the end of the second quarter, early third quarter and the time of the CapEx on that would probably begin immediately thereafter. So I would say it’s linked somewhat in the third quarter and then start to ramp up in the fourth quarter of this year.
T.J. Schultz: Okay, so and your $65 million CapEx budget right now for '15, is it fair stage between that project and then if you spend a third of the capital on the Corpus your upside may be up to about $100 million of CapEx of this projects before?
Bob Bondurant: I think that’s on the high side and I don’t think we'll quite spend that much in 2015, to be honest I think, with respect to the Southeast -- South Texas Terminal, that will be a little bit -- it's a longer project, that's going to -- the timing of that would be end of 2016. So I would say that would be on a high side I would say probably closer to the at 80 million -- 85 million plus or minus.
T.J. Schultz: Okay, so leverage at quarter end was still around 4.7 times, have u utilized ATM in April or just general thoughts there on a view to get, below that or around that closer to the 4.5, I think is your target leverage?
Bob Bondurant: Right, that is the target, correct. And T.J. I think, we’re getting closure, I'd say that. Obviously we did not use the ATM in the first quarter, I think we are creeping back into the range where we might consider it again and going to the board and say we think there is some de-levering that needs to be accomplished here. But I think for now, we're probably going to limp along at port seven-ish in the near term, but we're getting closure.
T.J. Schulz: And then just any update on discussion with the general Partners on potential dropdown or transactions there? That’s it for me.
Wes Martin: I think even though our unit price recovered pretty strongly in the first quarter given where we are on a yield base and our cost of capital right, it makes doing a deal -- particular a large one pretty difficult from our standpoint. So our focus internally is to continue to be blocking and tackling if you will and focusing on the things that we can control. As we mentioned at the Investor Day we -- and I think in the previously earnings call talked about refocused on the drawdown storage. But I think when you really look at the numbers and you look at where our cost of capital is right now anything on that front would be pretty difficult to get to. So, I think when we look at that sort of possibility out in the future again I think we talked about coverage a little bit trying to improve our coverage’s and I think we’d like to see a little bit more consistent performance internally through these next, second and third quarters to help sort of hopefully in the longer run drive that cost of capital down a little bit and then make it a little bit -- any material improvements on that front essentially I think coming from those efforts would put us in a better position. But as we said right now, there is really on developments on that front.
Operator: Thank you. And at this time, I am showing no further participants in the queue. I’d like to turn the call back to management for any closing remarks.
Bob Bondurant: Thank you, Terry and this is Bob speaking. We’re very pleased that the Partnership is off to really a great start in ’15 and we continue to see relative strength in the business so far in Q2. We anticipate there is going to be less seasonal weakness in the second and third quarter relative to previous years as we see a shift in some of our fertilizer cash flow through the same quarter to the farmers’ planning issues. We also have some good contracts in the butane business lined up in the second and third quarter. And now we have the Cardinal baked into our business so there is a good stability of cash flow there. So again we’ll probably see less seasonal weakness than historically we’ve had in the second and third quarter. And finally, our packaging business is continuing to show a positive trend line; especially from where it was at the end of 2014. So all in all, very pleased with the quarter, very pleased with the prospects and very pleased that you joined us on the call this morning. And thank you for your attendance and appreciate your covering us. Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today’s conference. This concludes the program. You may now disconnect. Everyone, have a great day.